Operator: Welcome to the Stillwater Mining Company Q1 2008 results conference call. (Operator Instructions)
Francis R. McAllister: Welcome to the 2007 annual meeting of the stockholders of Stillwater Mining Company. I am Frank McAllister, Chairman and Chief Executive Officer of the company and I’ll be serving as chairman of this meeting. Before starting, some have asked about the venue of our meeting today and perhaps since now I am not quite sure exactly what it is, but let me author a word of explanation. It was five years ago this coming June that the Norilsk Nickel transaction was consummated after eight long months. Because of the transaction’s groundbreaking nature, obviously Norilsk now owns just over 50% of the company and they are based in Russia, and five years ago this was a significant event in the United States and obviously in Russia as well. But because of this groundbreaking nature, as it proceeded we were called upon to provide reassurance not just to our employees and our shareholders, but also to local government officials, government regulators, community and civic and business leaders and our neighbors. And we wanted to reassure them both of the need for the transaction and the value of the transaction to our local community. In the process we received great support from the Congressional delegation, but afterwards as a gesture of goodwill, the management of Norilsk Nickel arranged to provide funding for a bear habitat here in a zoo in Montana. And while it’s taken more time than it should have, the bear habitat is now completed and as of just a week ago inhabited by Bruno. And Bruno is a grizzly bear, we think. And if that is so, he is back here to his home native Northwest United States area just ‘Russian’ to get to the meeting so to speak. I see you are a little bit slow today. I’d like to publicly acknowledge and thank Norilsk Nickel on behalf of Montana for their generous gift, which should make us all, maybe smile. As you leave the meeting today, you may want to make a quick visit to the bear habitat, which is one of the first exhibits in the in the zoo proper down over the hill here. Bruno is not yet allowed out into the bear meadow part of the exhibit as he’s still under a precautionary quarantine, but he can be seen pacing back and forth in the bear house at the rear of the habitat and he’s pacing only as a bear wanting to get out can do. Now also, before I call the meeting to order, I would like to introduce the other directors and officers of the company who are here with us today. I’d ask them to stand as they are introduced. With us here today are the following directors: Craig L. Fuller; Patrick M. James; Steven S. Lucas; Joseph P. Mazurek; Sheryl K. Pressler; Donald W. Riegle, Jr. Todd Schafer also a Director is not in attendance with us here at the meeting today. Other officers of the company with us here today are: Greg R. Struble, Executive Vice President and Chief Operating Officer; John R. Stark, who’s sitting there at the table, Vice President, Commercial, Human Resources, General Counsel and Secretary and dishwasher. We get everything in there, John wears a lot of hats in the company, and he also will serve as secretary of this meeting. Also we have Greg Wing, Vice President, Chief Financial Officer; and Terrell Ackerman, Vice President of Planning and Processing. I would like to also introduce today David Hill from KPMG, right over here, the company’s independent accountants, who will be available to respond to appropriate questions as the meeting proceeds. I would like now to call the meeting to order. We will proceed with the formal business of the meeting as follows. First we will consider and vote on the election of eight Directors for the company’s Board of Directors. We will then consider and vote on the ratification of KPMG LLP as the company’s independent registered accounting firm for 2008. Lastly we will report on the company’s business and earnings for the year of 2007 as well as for the first quarter of 2008, which will be followed by a question and answer session during which you will have a chance to ask questions. Will the secretary please report at this time with respect to the mailing of the notice of the meeting and stockholders’ list?
John R. Stark: I have at this meeting a complete list of the stockholders of record of the Company’s common stock as of March 31, 2008, the record date for this meeting. I also have an affidavit certifying that on or about April 14, 2008, a notice of the annual meeting of stockholders of the company was deposited in the United States mail to all stockholders of record at the close of business on March 31, 2008.
Francis R. McAllister: I hereby appoint Patrick Hayes of Computer Search area of Investment Services, the company’s transfer agent, to act as inspector of elections at this meeting. Mr. Hayes has taken and subscribed to the customary oath of office to execute his duties with strict impartiality, which also will be filed with the records of the meeting. Mr. Hayes’ function is to decide upon the qualifications of voters, accept their votes and when balloting on all matters is completed, to tally the ballots cast as to each matter. Will the secretary please report at this time with respect to the existence of a quorum?
John R. Stark: Yes I’ve been informed by the Inspector of Elections that proxies have been received for 86,442,663 of the 92,743,743 shares of the company’s common stock outstanding on the record date, which represents approximately 86% of the total number of shares of the company’s common stock. This constitutes a quorum for the transaction of business.
Francis R. McAllister: I hereby declare this meeting to be duly constituted for the transaction of business. Are there any additional proxies to be submitted to the Inspector of Elections at this time?
John R. Stark: The time is now 1:40 pm on May 8, 2008 and the polls are now open for voting on all matters presented. The polls will be closed to voting on the two proposals after we go through the proposals. I will announce the closing of the polls in due course.
Francis R. McAllister: The first order of business is to consider the election of eight directors of the company’s Board of Directors. The following individuals have been nominated to serve as Directors of the company: Craig L. Fuller, Patrick M. James, Steven S. Lucas, Joseph P. Mazurek, Francis R. McAllister, Sheryl K. Pressler, Donald W. Riegle, Jr. and Todd D. Schafer. All of these persons are currently directors and up for re-election. Under our stockholders’ agreement with Norilsk Nickel and Norimet, its fully owned subsidiary and the owner of the Norilsk Nickel Stillwater Holding, Norimet is entitled to nominate a majority of directors on the Stillwater’s Board of Directors as long as Norimet owns a majority of our outstanding shares. Norimet owns about 53.7% of the company’s outstanding shares and has nominated Craig L. Fuller, Steven S. Lucas, Donald W. Riegle, Jr. and Todd D. Schafer for election as the Norimet Directors under the stockholders’ agreement. All of these persons have been directors of the company since June 23 of 2003, the date that the stock purchase transaction with Norilsk Nickel was completed. There is also one vacant Norimet director’s position due to Jack Thompson’s resignation in July 2006, which will be filled at a later date. The stockholders’ agreement also provides that the CEO will be a director, so I am also included as a nominee. Finally, the stockholders’ agreement provides that the Board will also include a so-called Public Director, who will be nominated in such a manner as to reserve their independence from Norimet. The current public directors are Patrick M. James, who is also the lead director on the Board, Joseph P. Mazurek and Sheryl K. Pressler and all three are nominated for re-election. All of these public directors have been directors of the company before the completion to transaction with Norilsk Nickel. Further information regarding the nominees for election is included in the proxy statement that was sent to shareholders earlier. Are there any questions on this proposal before we proceed?
John R. Stark: The following resolution is hereby submitted to stockholders for their adoption and approval. Resolve that Craig L. Fuller, Patrick M. James, Steven S. Lucas, Joseph P. Mazurek, Francis R. McAllister, Sheryl K. Pressler, Donald W. Riegle, Jr., and Todd D. Shafer be, and they hereby are elected to serve on the company’s Board of Directors until the company’s 2008 annual meeting of stockholders or until their successors are duly elected.
Francis R. McAllister: Next we will consider the ratification of KPMG LLP as the company’s independent accountants for 2008. Are there any questions on this proposal before we proceed?
John R. Stark: The following resolution is hereby submitted to the stockholders for their adoption and approval. Resolve the appointment of KPMG LLP as the company’s independent accountant for 2008, and it is hereby is ratified and approved in all respects. As we’ve already discussed, the voting is by proxy and written ballot; it is not necessary to vote in person if you have previously sent in or have at this meeting submitted your signed proxy. The only person present or they are not you have submitted proxy now wish to vote in person on proposals one and two. Please raise your hand. Seeing none, each holder of record of common stock as of March 31, 2008 is entitled to one vote for each share held on all matters to be voted upon.
Francis R. McAllister: Time is now approximately 1:45 pm and unless there is a need for more time to vote, I intend to now close the vote with respect to all proposals. The polls are now closed for voting. May we have the results to the voting?
John R. Stark: The report of the inspector’s election counting proposals one and two presented at this meeting is as follows. The following individuals have been elected to serve on the company’s Board of Directors until the 2008 annual meeting and until their successors are duly elected: Craig L. Fuller, Patrick M. James, Steven S. Lucas, Joseph P. Mazurek, Francis R. McAllister, Sheryl K. Pressler, Donald W. Riegle, Jr. and Todd D. Shafer. The stockholders have approved KPMG LLP as the company’s independent accountant for 2008. A full tally of votes will be included in our next quarterly report on Form 10-Q filed with the SEC.
Francis R. McAllister: The formal part of the meeting having been completed I’d like to make some remarks regarding Stillwater Mining Company as well as the business environment that we face today and perhaps some comments on where we think Stillwater is headed. The schedule for this portion the Annual Meeting has been crafted to allow me not just to comment on the results of 2007, but to also report financial and operating results for the first quarter of 2008. A chance that is, to initiate discussion of our quarterly results after 2:00 PM and the New York Stock Exchange closes in New York at 4:00 PM. Well we are going to have a little bit of opportunity here to discuss new things ahead of that time. As we are free to comment on our first quarter at that time, we have also invited shareholders and analysts and others wishing to learn more about Stillwater to join us by phone and Internet hookup to get the report firsthand and to ask questions along with those here in person. Typically this is done a day or so after the annual meeting as we do with each of our other quarterly reports and while the format may be a little bit unwieldy, it does allow others to join us for the report portion of the annual meeting, at least that’s the intent. Thus, in a few minutes, a bit before 2:00 pm, I’m going to interrupt my remarks briefly to make sure that the proper links have been made to those who are joining by conference call, many who are already on the call and listening to us right now. Before I start with any company operating comments, let me call your attention to the SEC disclaimer, which generally states: some statements contained in this presentation are forward-looking within the meaning of Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended, and, therefore, involve uncertainties or risks that could cause actual results to differ materially. Additional information regarding factors, which could cause results to differ materially are found in the section entitled Risk Factors in the company’s 2007 annual report on Form 10-K which is enclosed in the wrap annual report that has been distributed to shareholders. Now, a bit of history, Stillwater operations were being expanded and a further mines developed in the less robust metal price environment of the late1990s and nearly 2000s by attracting and retaining skilled underground miners from other regions with a seven-on/seven-off, 35 hours per week work schedule which allowed them to work in Montana and live elsewhere. Its schedule was augmented with contractors. But given the robust nature of metal prices and underground mining operations today, it’s now difficult to retain, much less attract, such skilled underground miners to Montana and contractors are very expensive today as a result of the demand for them. Plus our attrition rates have grown as miners find work elsewhere in this robust mining industry, generally closer back to where they lived initially near their home. The changes in the industry and in price has been significant, sustained and sustains across the board. Think about iron ore prices, which are up 65% to 85% alone just this year. Metal price shown here are those generally important to our operations. The surge in demand for metal began in earnest in late 2003. Its impact on prices since that has been huge. Platinum’s up 175%, palladium 103%, rhodium 1635%, gold 135%, silver 230%, nickel 195%, copper 386% and zinc 163%. For me personally, in the industry for a lifetime, I have never seen anything quite like this, and demand in prices are likely to remain at high levels driven by a number of factors which I will discuss today. While given this generally robust mining condition, we ultimately needed to address the seven-on/seven-off schedule, its cost and the attrition levels that we were experiencing. Plus in January 2007, we changed the seven-on/seven-off schedule and the workweek was increased from 35 hours to 43 hours on average. Much was devoted to the schedule change in the 2007 annual report which is here today and which has been mailed to shareholders, but in short the change accelerated the attrition we were already experiencing of those who were coming in to Montana from Idaho or Nevada or South Dakota. And as Montanans who had other businesses or other jobs. Further, our labor contract negotiation resulted in a seven-day strike in the year 2007, which disrupted operations. So production results for 2007 were disappointing to all of us at 537,500 ounces in particular when compared to 2007 guidance of 615,000 to 645,000 ounces. And important to note we go on to state in the annual report given our smaller and less experienced workforce today our production guidance for 2008 as we rebuild our workforce is 550,000 to 565,000 ounces. I am going to discuss this further in a few moments as well. 2007 recycling volume was up modestly at 373,000 ounces. The recycling business continued to grow and provide a substantial return on our investment, roughly a 25% ROI on the investment being primarily for working capital, which is turned over four to five times a year. Nevertheless for 2008, recycling volumes have been projected essentially flat as the market adjusts to the competition at these much higher prices. Our total production for 2008 including the recycling volumes is projected at just over 900,000 ounces. Cash operating cost per ounce has been fairly well contained for several years affected mostly by production level. That is not now the case. Fuel, power, steel and another costs in place are rising and thus with production lowered and cost in supply, the cost per ounce of production is projected higher in 2008 with guidance ranging between $355 per ounce to $375 per ounce. EBITDA in 2007 was also affected by the lower production, however, a substantial portion of our 2007, platinum production was hedged or sold forward at lower prices which cost us about $31.7 million as against the realized, otherwise realized prices for 2007. Our hedge book going into 2008 however is nearly exhausted and there is only 15,000 ounces remaining, 9,000 of those ounces is already extinguished in the first quarter and 6,000 ounces remaining in the second quarter. So with the platinum hedge book all but worked off and the palladium price above the auto contract floor prices, EBITDA will be more robust as they price it in our profitability for 2008, much improved if these prices are sustained even at the lower production that we have projected. I will have more to say about the platinum hedge growth, when reporting on the first quarter in a few minutes. But I’d like to pause just for a few minutes now. To wait for others to join us at the 2 o’clock hour. While we do that, I’d like to ask if there are any questions at this point in time from anyone in the audience here, we won’t call on questions from those on the call at this point, but wait until we get finished with the rest of them. If there are questions right now we could do that while we are waiting for the rest of them to join. Any questions?
[Inaudible – No audio in audience.]:
Francis R. McAllister: Different companies and Norilsk is a subsidiary company of Pechenganickel and it’s based in London and Norilsk is a different company. That’s a separate company and we are not involved with that is Pechenganickel and Norilsk.
[Inaudible – No audio in audience.]:
Francis R. McAllister: Properties very intimately in fact there are number of people in the audience that could talk about them. The likelihood of that may be low and the reason for that is that they have basically a copper, nickel product that they are producing. They do have some palladium and some platinum with them but the bulk of the platinum, palladium in them will be very low and their concentrate volume is very high. As a result of that we probably don’t have to actually run it through the refinery. It’s pretty specific and pretty high-grade platinum and palladium. Terry would that be okay? A very important question though, I just commented briefly about this. The only other area in the United States where there is any platinum or palladium of any quantity would be at Minnesota, and there are several properties up there. One is own by the state, one is own by a company by the name of Calumet down in Denver, based out of Denver. One is owned by some private investors. We have looked at them, we understand them, and we know them. It is a processing problem because they come out with a bulk concentrate and to ship that very far is going to expensive for them and that’s why they are trying to put the other metallurgical process. Now the problem there is that putting a smelter in Minnesota is difficult so that’s the reason behind it. Any other questions? Let me just talk about a couple of things for a second. We’ve got about three minutes to go and I apologize for this unwieldy way to report. We are going to talk about when we get into this call, we are going to talk about South Africa a bit and the issues we are dealing with in South Africa. As we went through our Board meeting this morning we talked at some length about trying to understand just exactly what the issues are in South Africa. And what you will hear here in just few minutes is that South Africa produces over 75% of the world’s platinum. We are also going to talk about platinum and rings and platinum and cars, and rings or jewelry use platinum. It is a discretionary thing that when the price goes up it generally tends to wind up having a reduction in demand. And price generally tends to go up when you have industrial usage for it and the industrial use at this point in time is catalytic converters for diesel cars and trucks. And, so what’s happening, is if you’ve got very high demand for a scarce resource and you have a scarce resource which the supply is all of a sudden reduced in some way you’ve got a volatile price environment, and that’s essentially what we are going to talk about here as we get into this particular portion of the meeting. And, I would expect that there might some questions as we get into this, and if there are, we would be delighted to talk about them. However, we produce platinum and palladium in Montana, and while we know the people in South Africa well, and we know what they are doing, we are not intimate with their problems or, quite frankly, just exactly what will happen over time. The PGMs also have unique catalytic properties that make them essential for certain industrial applications. We are the only producer, US producer, of these and the largest in the Americas. PGM occurrences are rare and the metals are scarce, as I have mentioned previously, briefly earlier. And although they have unique properties, which qualify them as precious and even meritorious they also have unique properties as I have mentioned which makes them absolute essential for some industrial applications. Platinum and palladium resources are rare and the metals are mined in only a few areas of the world as shown here. PGM reserves found in the Northern Hemisphere generally are palladium rich. Stillwater’s ore reserve has 3.3 times as much palladium as it does platinum, while Southern Hemisphere reserves are platinum rich, with about two times is much platinum as palladium. Major producing provinces are located in Southern Africa and in the nickel reserves of Northern Siberia and the Sudbury region above the Great Lakes in Canada. Now compared to the volumes of the two other principal precious metals, gold and silver, PGM production is small. Platinum and palladium each are about seven million ounces per-year market and the much rarer rhodium has about 800,000 ounces annually. Gold, on the other hand, has about 80 million ounces of production annually, and silver about 400 million ounces. So the thinness of the PGM markets makes them particularly sensitive to upsets or changes in supply or demand. Such has been the case over the recent years and in particular in the recent months. Scarce and essential, as I indicated earlier, can make for volatile prices. And volatile they have been, as many of you are already aware, in late January events in South Africa combined with other economic factors to drive up PGM prices sharply from their 2007 levels. South Africa is the major source of PGM. In 2007 South African producers were responsible for about 77% of the world’s mined platinum production and roughly 38% of the world’s palladium production. On January 25 of this year, just a few short months ago, the South African government’s electric utility announced that due to fuel and capacity shortages, it would be forced to curtail electrical service to the country’s mines. As a result, the mines were forced to shut down completely for several days and thereafter had their power rationed at a level of about 10% below their previous consumption. The consequence was as immediate jump in PGM prices as primary consumers rushed to secure adequate supplies to cover their needs. Also it triggered investors jumping in to buy some of the metal too, recognizing an opportunity presumably lacking other attractive returns in the weak first quarter economy. After an initial flurry of activity, the demand picture has now stabilized a bit, and prices have receded, although they remain at higher levels than last year. However the underlying issues have not yet been fully resolved. The shortage of electrical power and generation capacity in South Africa will take years to resolve, which will make it difficult to bring on new PGM mine productions to accommodate the steadily growing demand for the metals. And compounding the power issues is a second concern, one that we have throughout the industry, not unique, entirely unique, to South Africa, but nevertheless influencing this whole situation, that is the shortage skilled and experienced mining professionals. With the huge increase in demand for raw materials over the past several years, driven by China and India and the developing world in general, mining engineers and geologists are in very short supply. The result has been announcements over the past two months that South Africa’s platinum production in 2008 may fall short of earlier plans by almost one million ounces. And although the corresponding effect on palladium will be smaller, the net result in 2008 will be to move the palladium market into a supply deficit as well. Now while we do not intimately know the circumstances in South Africa, and I’m not going to try to expand on the issues in detail, what we do know is that the electrical shortage is real. It’s scarce that the source of 70%, 75% of the world’s platinum production is in South Africa. This has been complicated by a general fuel shortage is professional. The full impact is yet undetermined and it’s going to take sometime to overcome, even years and the projections are anywhere from five to 10 years, if they ever catch up. And the market is going to have to cope with higher prices and uncertainty during this period of time. To date, the lowered platinum supply impact in the face of increasing demand has been substantial. South African platinum production which peaked in 2006 at 5.5 million ounces was off 6.8% in 2007 even before the electrical issue manifested itself. And according to company news releases subsequent to the electrical issue, at least it will be lower by at least 5% in 2008. Now while the reduction has been partially offset by additional catalytic convertible material and recovery, the South African electrical problem was the major factor in platinum’s recent price surge. Which hit a high on March 4 of $2,273 and even though it went down some 10% to $1940 on Tuesday, it is still up 26% since the first of the year and 71% since the first of 2007. From just today it’s moved back up to about $2050 further even $110 higher today than it was just two days ago. Today given the change in price and the roll off of our platinum hedge growth, which are major sources of revenue going forward at these prices is derived at about 55% from platinum, which at 124,000 ounces last year represented only about 23% of our PGM mined reduction by volume. Worldwide mined production of platinum last year was about 6.6 million ounces, so still a lot of share platinum output is only the order of only about 2% in the world. Like palladium about half of the world’s platinum production goes in the catalytic converters. Most of the reminder is consumed in the petroleum refining catalyst, in the jewelry and various other industrial and medical applications. The next metal we saw a real flight was rhodium, which is now over $9000 per ounce, that’s up 26% since the first of the year and 70% since the first of 2007, in parallel with platinum. Stillwater mined just over 4000 ounces of rhodium, which we treat as a by product. Rhodium is extremely rare and an essential critical component in reducing nitrogen oxide emissions in exhausts. The price of rhodium averaged just over $6000 per ounce from 2007, and in 2007 the company’s proceeds from the sales of mined rhodium totaled about $19 million. Now the company’s recycling activity handled a substantially greater volume of rhodium, about 24,000 ounces of rhodium. While that isn’t much volume, the value is $200 million. Now and even though rhodium inventories continue to maintain a lid on a real upward price in the price of palladium, given the actual and expected switching between platinum and palladium, palladium was up $425 on Tuesday. It’s actually up a bit from that today and that’s up 15% since the first of the year and 27% since the first of 2007. It hit a high on March 4 of $582. High volumes, Stillwater’s largest product is palladium. Last year we produced about 413,000 ounces of palladium. Our share represented roughly 6% of the seven million ounces of palladium mined annually in the world. About half of the palladium produced each year is consumed in catalytic converters for internal combustion engines. Most of the remainder is contained in jewelry, petroleum refining, electronics and dentistry. Market prices of palladium have remain generally in the neighborhood of about $350 during the year 2007, a price level it moved into in late 2005 and I’m going to come back to that in a few minutes and talk more about that. Over the past several years, we have observed that Stillwater share price has tended to follow fairly closely to the underlying price of palladium. That suggests that the company’s shares are regarded at least by some investors as a surrogate for palladium. Interestingly as I mentioned earlier at current PGM prices Stillwater’s mine revenues in 2008 are more dependent on platinum then on palladium. However, because of platinum hedge book as platinum sales in 2007 contributed only 40% of our revenues for mining and about 46% of the revenues from re-pricing. As we wind up our remaining platinum hedges in 2008, this will change. Metal prices in general, I would like to come back to this chart just for a second, have surged strongly since 2003. In fact many of these prices are down from the highs that during the past year or two. The difference here with PGM is the magnitude of the change in such a short period of time, in just these last couple of months. And the fact that it appears primarily to be based on strong supply, demand and fundamentals but in general we expect high although fluctuating prices to continue for some time to come. As you would expect, the higher PGM prices benefited Stillwater’s financial performance in the year’s first quarter, which we reported net income of $3.2 million compared to a loss of $1.1 million in the first quarter 2007. Now that isn’t quite as robust as you might have expected and let me explain. And even though during this period of time the quarter results included $2.2 million non-cash charge associated with retiring our bank credit facility on March 2, slightly in March it doesn’t fully reflect the impact of a higher PGM prices on repricing business because of inventory timings. And the results also continue to be constrained by our below market forward sales commitments to platinum entered into several years ago that reduced this year’s first quarter earnings by $7 million. The last of those below-market contracts will roll off during the second quarter of 2008. Our market prices at $441 for palladium and $1867 for platinum yielded a realized price of $413 per ounce and $1383 per ounce for mined production. This is compared with the first quarter 2007 market prices of $343 for palladium, $1190 for platinum which yielded realized prices of $377 per ounce for palladium and $915 per ounce for platinum. Breaking out the results now, breaking them down by business segment, I’d like to first point out that our recycling activities in this year’s first quarter generated more total revenues than our mining operations. But let me hasten to add copper and nickel in our mine concentrates in our affinity for PGM and the smelting and refining process that makes our recycling business possible. Turning to mining operations were about $8 million in the first quarter compared to $3.8 million in the same quarter of last year. And this was obviously due to the higher PGM prices which more than offset the somewhat lower sales volume. Recycling earnings was $5.9 million up from $5.3 million in the 2007 first quarter, as margins on this material increased with the higher prices. Corporate expenses, which include exploration and marketing costs as well as net interest expense on the company’s long-term debt, were up slightly from a year ago at $10.7 million. However that expense total in 2008 includes a $2.2 million write-off mentioned earlier, so without that they would actually be off this one from last year. Now turning to some of our other performance measures, total cash costs per ounce at $385 on a combined basis were up quite sharply period to period from $309 a year ago, reflecting both real increases in cost of key materials since last year and from our mine production. Capital expenditures of $20.8 million were also a bit lower in the 2008 first quarter as actual construction of the new smelter furnace is not expected to begin until late in the second quarter of this year. Cash flow from operations declined a little in this year’s first quarter, mostly associated with the result of strong growth in working capital requirement associated with the higher PGM prices. EBITDA, which is earnings before deducting interest expense, income taxes and non-cash depreciation and amortization charges, for the first quarter was $25.5 million driven by the higher PGM prices this year. From an operating perspective, both mine production and sales volumes declined in the first quarter of 2008 from the same quarter in 2007. Production declined to 129,000 ounces from 144,000 ounces a year ago, reflects in part heavy workforce attrition over the past year due in part to the critical schedule change that we implemented in the Stillwater Mine in March of 2007. The decline also relates in price of the transition in mining methods that occurred at the [inaudible]. Recycling volumes also declined modestly between the periods, although these volumes tend to fluctuate with competitive market forces. Anyway as this chart shows, the recycling industry is multilayered and has various factors including market prices and competitive shifts, seasonality, and these can affect volume of the materials going through us at any point in time, and in fact it appears to be according for the second period our volumes in the second quarter has grown quite significantly. Our guidance for mine production this year as some would recall is between 550,000 and 565,000 ounces. There is some growth in output from quarter to quarter during 2008 based upon increase in productivity and growth in our workforce. Actually first quarter production of 129,000 ounces was on the plan trend, so we are now changing our production guidance. Our recycling guidance for 2008 is 355,000 ounces because this is a bit more than last years 373,000 ounces the actual volume process in the first quarter of this year was 78,000 ounces, a little bit off the [inaudible]. However when the volumes tend to be a little bit lighter than average and we have seen the strength as I mentioned previously in April so we are reaffirming our annual production guidance for recycling. Now wrapping up our financial commentary where we go into some of the market commentary, I would note that in early March the company replaces existing bank credit facility was $181.5 million in convertible debenture. And we know the difficult conditions in the credit market right now and with the intending maturity of outstanding credit facility that we previously had would like to take advantage of the high PGM prices to leverage into the convertible debenture market. The coupon rate on this debenture is 1.875%. That’s 178% all in per year and the conversion price is $23.51 per share. The excess proceeds of this offering will be used to cover the expanding or contemporary repricing business as prices increase and for other corporate purposes. Now I’d like to comment further regarding my earlier statements of the South Western electrical prices is one of the factors regarding the surge in price, prices which are generally already at historic highs. And in so doing let me also remind you how this fits into our corporate strategy, a strategy in which we undertook to market palladium as well as to transform mining operations and grow and diversify the company. I talk a lot about use of palladium for jewelry. My palladium blonde hair makes me uniquely official to do that. If the truth be known palladium and platinum are industrial metal with primary growth for 34 years now in automotive catalytic converters. Those familiar as Mike said the technology became exceedingly [inaudible] technology in the 1990s. Well, in 2007, catalytic converter demands for platinum about equaled that for palladium continue roughly 15% of each metal. I’d like to explain this kind of long time emerging story. Catalytic converter technology for gas engine emissions is palladium based. For diesel engine emission it platinum based and expected to remain so, but emission treatment is just part of the story. Over 50% of newly built European cars are now diesel and the growth which is or was based upon material knowledge or economics is now not the driver anymore. These are clean. They are quiet engine, they have great [inaudible] in addition to their superior modern technology. [Inaudible] in new Mercedes diesel engine car, which came out of the auto show in January of this year in Detroit. And 67% of BMW built last year were hot and peppy little diesel cars like this and as you see here, so it appeared to be that the preferred technology in Europe at least is for diesel engines, because buying the Mercedes or BMW isn’t necessarily a decision based upon economics. At the 2008 Detroit car show last month BMW announced that its diesel cars will hit the U.S. dealers this fall. And these are the two cars that would be there. Other carmakers, Japanese in particular, are following suit. In fact I have driven a diesel car for years and I would really expect quick acceptance in particular of these cars amongst [inaudible] in our country, they really are a great car. Now, there is more to the story and it’s right here in U.S. By 2006 US oil refineries even though it right here on our own city were required to [inaudible] a diesel fuel. And they were to have that at the pump ready in the mid 2007 model diesel vehicle. But beginning in 2007, the diesel trucks and cars were required to have catalytic converters as well as dpm solder, dpm standing for diesel particulate matter [inaudible] diesel fuel. Some sarcastically say this is simply not going to happen with the U.S. cars. I don’t know; BMW is ruling in the market right now. And for truck in particular they are larger converters, they use lot of platinum. Platinum because of the low temperature of diesel exhaust. Now, diesel initially, as I mention earlier also contains diesel particulate matter, dpm. Dpm is the uncertain carbon, which must be treated as well and if it is treated with the dpm silver the treatment requires yet more platinum. Now, if dpm is oxidized and is [inaudible] by raising the temperature and some palladium is already used in the dpm silver to keep the platinum from [inaudible] or protect the platinum in the filter and also to reduce cost. And researchers now have developed the use of palladium in the converter itself in addition to the filter, again to reduce cost. Now the platinum price and this is a very important chart to look it, it’s the one that it was right there in front of us all the time and it was only about a year ago now when we discovered unfortunately the ingredients in the aspects of this chart. Now the platinum price increased the platinum beginning in 2001 and that was a time when they were shifting from high prices in palladium to the lower priced platinum. And it was kind of map, that theory, as everybody talked about it, though the palladium is still higher at $1000 we better switch back to platinum at $400. And that story kind of mapped, if you will the use in catalytic converter and the majority of European consumption grew from 680,000 ounces in 2000 to 2.1 million ounces in 2007. And that was basically as the diesel vehicles grew and as the use of catalytic converters in those diesel vehicles was instituted in Europe. The whole consumption of platinum converters at the same time as the diesel [inaudible] is obviously driven this by the consumption in Europe. It grew 135% over that time or as we would say, it’s probably 15% per year from 2000 to 2007. Now with the platinum market previously in balance, this increased demand has been rationed by an ever-increasing price. And this may help explain why we have spent today and undue amount of time on the catalytic converter story. The research is even more critical in this market than ever. Researchers at these prices will continue to seek alternatives to platinum. Some of which alternatives may be very close to our home. In 2006 Volkswagen adopted a diesel catalytic converter with 25% palladium for its diesel cars and they are largest diesel car producer in the world. Last year, we visited a catalytic converter plant in the U.K., which used almost 40% in its catalytic converter design for BMW. And some industry pundits have suggested that this will grow to a 50:50 ratio with 50% platinum and 50% palladium. So to come back to the palladium story, you can see the spike that took place there in 2000 to 2001. Palladium has had a very robust demand for the last 15 years. The market has absorbed nearly 25 to 30 million ounces from Russian Soviet-era inventories in addition to the 90 million ounces that’s been produced over that same 15-year period of time. Thus there has been far more palladium consumed in that 15-year period of time than platinum even though the production is about equal in the world. But it makes one wonder what will happen when that Russian inventory is gone. A possible perfect storm at that point in time because analysts are currently suggesting that the inventory is close to depletion, and the current market has built in some price based upon the declining shipment this year from Russia and also last year. That leaves us with about 6.8 million ounces in Zurich vaults. Now just summarizing, the consensual use of about 50% of world’s PGM production, regarding the diesel emission technology what otherwise would be a loss for palladium as diesel moved into cars, is driving an effort to find ways to use palladium in the platinum-based diesel emission technology primarily driven by time. This is reminiscent of the late 1980’s when the U.S. auto industry driven by concerns that there would insufficient platinum for catalytic converters in gasoline emission standards, they developed technology using palladium for the gasoline car. It’s also reminiscent of the early 2000 period, 2001 when the price of palladium had surged to a high of $1,090, and it drove the industry to consider switching back to the then cheaper platinum at $400 for catalytic converters for cars. There was nothing that was just simply good business to reduce costs and that’s why we would expect after it’s going to be more palladium used in the diesel technology. Now the startling fact about diesel technology is that the converters require two times as much PGM in the diesel car as it does in the gasoline cars. So that has been a perceived loss for palladium as diesel technology takes on larger market and penetrate into increased demand for both metals. Now, lastly, the surge in the use of PGM emission controls in the developed world over the last 33 years has not abated. And the surge in the developing world for emission control technology is just beginning. We expect emission control technology even with research driven drifting to a lower loading to be healthy markets for some time to come. And China this year will build over 10 million cars in China itself, and 10 years ago, I don’t think they had 10 million cars in their own country. So it is a huge story and it is coming and they do have catalytic converters in them. Now the other big story for PGMs is jewelry. These are designer pieces in palladium created for marketing purposes in China. And you may find it interesting how jewelry demand interfaces with industrial demand in particular for catalytic converters. As the price becomes this is how it interfaces. What’s happening here is price becomes the allocating mechanism and rationer between the essential uses and the discretionary uses. This fact is more obvious when pitted against the trend in use of precious metals. The curious thing about the chart is that palladium launched in 2003 from virtually no use and as a result outpaces both platinum and gold by a wide margin. So while still a relative newcomer to jewelry, the growth comes from palladium’s excess to essential needs. This is the issue we were addressing when we began marketing palladium. There was palladium inventory in excess of the market needs. Now remember the surge in price from 2001 forward with the increase in catalytic converter usage for diesel. Well, such is actually the strategy of the South African platinum producers who created the wildly successful platinum field international use guild. And you can see here that as the price increased the usage for jewelry decreases down there on the bottom line. And so you can see the dynamic at work. If the price were to go back down the consumption for jewelry would go back up, again price-driven, affordability-driven. Jewelry sales don’t necessarily drop, instead designers and producers and buyers turn to affordable alternatives. It could be gold, white gold, silver, tungsten, carbide, titanium, plastic, even wood is used for jewelry, based upon affordability and designers’ appetites As platinum broke $800 in 2004, the Chinese jewelry industry sought affordability for their markets. They also sought to emulate platinum’s purity, they couldn’t do that with 18 carat or 14 carat gold or silver, so the industry found and began embracing palladium as a jewelry metal. Stillwater stepped in at that time to a market vacuum which was created by the Chinese search for affordability and we created the Palladium Alliance International to make sure that palladium was not defined as a cheap substitute but would be known as a white, bright and light, and rare, pure and luxurious metal. We sponsored a number of articles and what we also tried to do was to make sure that the industry would join us in this effort to market palladium jewelry. And this has taken place at least by announcement this year on March 4, when the industry announced that they would agree to join us in funding the palladium marketing efforts around the world. This includes platinum-rich South Africa agreed to join in that as well. Now also as use continuous to grow based upon affordability, in recent weeks authority to trade palladium on the Shanghai gold exchange appears now to be close to being secured. Such authority will put palladium on equal footing with that of platinum, gold, and silver for importation into China, and it also will essentially say palladium is a precious metal equal to these other metals at least in terms of that connotation. Now Johnson Matthews validated our palladium market phenomena in its October 2005 interim report about 18 months after it started. you can see what the news did to the size at that time, having averaged about $200 for three straight years, it moved quickly to $350 per ounce level over the last two years to close slightly above $400 this year. We expect palladium sales to grow rapidly further as acceptance grows. It’s a great jewelry metal. It has great affordability in particular when we consider it against the price differential to platinum and gold today. So let me recap the fundamentals behind the price move. These are not just rare, precious and luxurious metals. They are scarce and they are essential and scarce and essential as I said can be explosive in a tight market. You have immense prospects for price movement, as we have seen. Now let me turn quickly to talk about Stillwater and operations in other tight markets. Our transformation was dealt a setback by our schedule change last year. Nevertheless the schedule team was part of the transformation, but there was more impact from attrition than expected as each element of the transformation. Nevertheless our strong safety management record continues to get better. We continue to move our proven reserves forward to 40 months of production and capacity operations and at some point this will pass on but reaching capacity production of about 800,000 ounces will now be a few years out That’s going to take the necessary time to build the workforce strength, and that will take a bit more time now in this robust market place where the demand for underground miners is very intense. It’s a robust day for mining again showing the risk chart when the demand for product and the scarcity of production by comparison. Some talk about a super cycle or I think we have already been in a super cycle, but I would say this is probably a new paradigm, a change in the industry. These effects on price, the effect of these prices, if sustained, are enormous on Stillwater. That said the mining industry faces another resource scarcity and that is the people it takes to staff this operation. Our capacity was built to sustain demand from the Western world. It is now called upon to feed the massive developing world’s demand. The prices are up across the board. And the platinum price already exceeds my experience. So how long will it take to satisfy the demand or to build the capacity to meet the demand? That’s going to take a long time. Until then, the market for mining engineers, geologists and skilled miners is fierce and fair game between companies, commodities, countries and continents. I repeat what I said before, Stillwater’s operations were expanded in the less robust days of the late 1990s by attracting and retaining skilled miners from other regions using a seven-on/seven-off work schedule which allowed them to work in Montana and live elsewhere. We have augmented with contractors, and obviously given a robust nature it’s difficult to retain, much less attract them. So facing this particular situation, we are seeking an alterative solution to bringing them in, bringing the miners in from other places. Three years ago, we dropped the requirement age for hiring from 21 to 19. We expanded our formal miner training program. In six months in duration the miner training has been apprenticed to a more experienced minor as he gradually builds his skills and productivity. Many of our miners are now graduates of that program. The growth of our mine production opportunity, which is 800,000 ounces, is over a time now but we intend during this period of time to further grow our recycling business. We will reduce the risk profile by moving from one product, one resource company, to a broader operating platform as the opportunities present themselves. PGM opportunities are scarce and thus we would, our search is for a broader area than PGM. But we continue to collaborate with Norilsk and I’ll just cite my earlier comments, actively seeking ways to leverage PGM’s value creation. How are we doing? Well the mine operation growth is dependent on our ability to grow our workforce as I’ve reported. In the meantime recycling growth has been significant. Our management team is focused on these three key strategic objectives: the mine transformation and all that means as I’ve previously explained is palladium marketing, diversifying and growing the company. But our day-to-day focus is on extending our original base and growing our operations both mining and recycling and in growing palladium demand for jewelry. I will now open the meeting for questions. 
[Inaudible Audience Question]:
Francis R. McAllister: That statistic would be all mine employees not just the miners.
[Inaudible Audience Question]:
Francis R. McAllister: That’s correct.
[Inaudible Audience Question]:
Francis R. McAllister: Yes. Let me go back to my earlier comment, and I’m sure it’s very important for you to understand. It was a change in work schedule, which allowed somebody to come from Idaho and work for seven days and go back and be with his family for seven days. We changed the work schedule because what we were doing was the attrition means they were leaving voluntarily, going to Idaho because the silver price is now $14 instead of $3 and they can get a good job in Idaho next to their families. So what they were doing is leaving us. So this wasn’t just nickel, this was “I’m outta here guys, I’m going back to Idaho, I’m going back to Nevada where the gold price is $850 instead of $350.” they were leaving us to go back to their home areas.
[Unidentified Audience Participant]: Was that mainly in the Stillwater Mine?
Francis R. McAllister: No, every mine in the country has experienced the same.
[Unidentified Audience Participant – Inaudible Question]:
Francis R. McAllister: Yes. That’s correct. So this is basically the Stillwater Mine where the schedule change took place. That’s correct. It was.
[Unidentified Audience Participant]: Seven and seven.
Francis R. McAllister: Yes.
[Unidentified Audience Participant]: So they got seven on and seven off.
Francis R. McAllister: That’s correct.
[Unidentified Audience Participant – Inaudible Question]:
Francis R. McAllister: The Stillwater was where it hurt, definitely in 2007 that’s correct.
Operator: Your next question comes from Victor Flores - HSBC.
Victor Flores - HSBC: I wanted to ask you about the recycling business, I understand that because you have to buy spent catalysts which are going up in price, there is a cost input issue even as commodity prices are going up. But I thought I would, I would have expected to see margins in the recycling business perhaps go up a bit. They’ve actually been fairly flat. Can you spend a bit more time talking about what’s happening on that side of the business?
Francis R. McAllister: Sure, first of all you are correct; the margins are up a bit. I think the second thing is there are two things that are going on here, first of all the production; the number of recycled ounces in the first quarter was down a bit from what it was last year. Meaning that if you have production down and you have profitability up just a little bit your margins are up a little bit. But the inventory methods that we use; we’ll defer some of that higher profitability into the second quarter and third quarter simply because it’s outturned. When it’s outturned is when we realize both the revenue but also the inventory is inventoried on an average cost basis and it’s very difficult to be able to explain what that does to us during a period of rising prices it defers profitability till later periods.
Victor Flores - HSBC: Both the first quarter operating performance and then the full year, it looks like you had a tough quarter at the Stillwater Mine and a much better quarter at East Boulder. Although I must say I am a bit surprised that costs came down as much as they did at East Boulder and rose as much as they did at the Stillwater Mine. Because there were differences in production but they weren’t that dramatic and I was hoping I can get a comment on that.
Francis R. McAllister: Victor you’ve analyzed it absolutely correctly.
Greg Struble: We are going through bit of a change and rationalizing some of the production at the Stillwater Mine, trying to adjust to the reduced manpower level and focus on productivity, you should be expecting to see some of that benefit occur in the second, third and fourth quarter.
Victor Flores - HSBC: I suppose that explains why the Stillwater Mine was down. You basically you had extra expenditure to deal with that lower level of tonnage. At the same time why did cost come down as much as they did at East Boulder when production was a bit better but not materially better?
Greg Struble: Some of that was just related to primary focus on the operations. There was some reduced spending in terms of contractor services, predominately contractor services.
Victor Flores - HSBC: With respect to the full year, obviously the first quarter you got off to a slow start, how do you see the rest of the year going in order to get to your target production?
Francis R. McAllister: Obviously it’s a ramp up in our workers.
Greg Struble: I think the best way to look at it is it’s going to be a steady progression towards those goals that we put out in our guidance. We see ourselves on track as to what we said last conference call and we don’t see material changes to the production side. And likewise on the cost side, we think we are doing the right things that are going to keep us within the guidance that has been already stated as well. So, it’s somewhat related to our position we’re at within the stope and mining areas in general both at Stillwater and at the East Boulder and it’s also related to some of the things we are trying in terms of our productivity initiatives. But generally speaking we are looking well on track with the guidance given last February.
Francis R. McAllister: A lady here in the audience had asked about our attrition rates. At Stillwater obviously the attrition rates have been quite high. There are three keys to us building up this production through the year. Greg has mentioned them; one is obviously our productivity of each of our miners and especially the new miners that have been hired on. The second is our ability to maintain our manpower and grow it, but the third one is obviously making sure that our attrition rates are as low as they can get to.
Victor Flores - HSBC: Is the progress on moving towards more of the selective mining?
Greg Struble: Yes Victor. What we are looking at right now is we still need to maintain our focus on both quality and quantity. So the guidance that has been given in terms of our shift to more captive cut and fill mining techniques. We are very focused on that especially in our areas that don’t lend themselves to more bulk style methods. However, that being said we still want to make sure that we are not walking way from potential opportunities that we can get from higher productivity related with our [inaudible] techniques. All that being said what we need to do going forward is make sure that we are really focused in on what the orebody will deliver and the methods that’s appropriate to get that done. So I would say this in terms of our shift towards captive cut and fill mining, we are going to continue with that in a very strong way and look for ways to optimize it where we can, but we are not going to lose sight of other opportunities that may arise by staying focused on our bulk mining as well.
Operator: Your next question comes from Borden Putnam - Eastbourne Capital.
Borden Putnam - Eastbourne Capital: I think the cost decline in East Boulder relates to an increase in head grade, it’s up about 8% year-on-year and up about 13% quarter-on-quarter. I track this stuff and it looks pretty good. I would love to see that at Nye or at Stillwater but we hope it will come. You periodically will give ore tons per day and I didn’t see them reported this quarter for both, either Nye or East Boulder. Could you give me those, do you have them handy? It’s tons mined by method for captive cut and fill and mechanical ramp and fill, just trying to track these and see how you are doing?
Francis R. McAllister: In fact what we will do is we’ll get back to you on both those questions.
Operator: There are no questions in queue.
Francis R. McAllister: Actually at this point in time, is there any other business that has to be brought forward to this meeting, John? As there is no further business the meeting is adjourned. Thank you for attending our annual meeting. The officers of the company will be available after if there’s anybody who’d like to ask questions and we appreciate your coming to Montana. Thank you again.